Operator: Good morning, ladies and gentlemen, and thank you for waiting. Welcome to Banco do Brasil Second Quarter of 2020 Earnings Conference Call. This event is being recorded. [Operator Instructions] This conference call is also being broadcasted live via webcast through Banco do Brasil website at www.bb.com.br/ir, where the presentation is also available. The replay of the conference call will be available to the phone number 551-121-880-400 until August 14, 2020 in English and also in Portuguese. To access the replay, please ask the operator to listen to BB's conference call. Identification will be required. Participants may view the slides in any order they wish. With us today, we have Mr. Daniel Maria; Head of Investor Relations and Sustainability. Mr. Daniel Maria, you may begin now.
Daniel Maria: Thank you. Good morning, everyone. Thank you for attending this call. Let me start the presentation on Page 4. Let me bring some highlights of the results. First of all, the adjusted net income for the first half was R$6.7 billion. This represented an increase of 22.7% when we compare to the same period last year.  This performance was mainly influenced by the days in the AOL expenses. The credit provisions grew by 51.8% in the same period, showing quite conservative approach that we are willing to describer later. The NII showed resilience in a moment so that we have an increase in the base rate reaching R$28.5 billion, an increase of 9% when we compare the first half ‘20 to the first half of ‘19. Fee income increases by 1.4% and the administrative expenses grew in line with inflation reaching R$15.16. Moving to the next slide, slide 5. We bring the net income. The net income probably a good way to look at this is to see what we call the PPOP pretax and pre provisioning earnings. And excluding the credit provisions we see a growth in the structural results generated by the bank by 11.7% compared to semester to semester and 8.3% when we compare with the second quarter -- the second half -- second quarter to the second quarter of last year.  Moving to the next slide, slide 6. We bring here the behavior of NII. As I said, quite revealing. We had a large decrease in the day trend. And we have growth in NIIs by 9% in the period. This can be explained mainly by the structural position that we have in massive liabilities, all of liabilities with that are closing rates and deciding quickly. And we see that the total expenses equated by 36.9%. Treasury contributed to this half of the year in R$6.7 billion decrease of 4.4% when we compared to last year. Moving to the next slide, slide 7. We bring the dynamics for NIM. First of all talking on the left hand part of the slide to bring the strength by portfolio. Trend is quite stable. The changes that we have is basically due to the change in the mix. In the case of individuals and the decrease that we observe here compared to last year. It's mainly explained by the gap in interest rate that we started this year for overdraft facilities.  When we go to the NIM, we see that the behavior is completely dependent on the liquid assets. And this quarter we saw an increase in the liquid assets moving from R$ 1.5 billion to R$1.7 billion, as you can see the bottom part of the slide. And the higher participation of liquid assets explains the reduction. If we normalize the liquid assets, our NIM would be in the region of 4.33 higher than the last quarter. Slide 8, we go into the ALL expenses bringing some breakdown of provisions. We spending provisions, we see the potential anticipation, that this trend approach to the provision is basically the way we're behaving since we see NPL is behaving quite well in this quarter these can be explained by growth. And we know that there will be a delay in the NPL, basically what we're doing is caching, exactly due to prepare for open this NPL guideline.  The another access as you can observe here it's a higher experiment that happened in the private bonds, they are basically from some transactions in large conference. Moving to the loan portfolio inflating to Slide 9. We show the behavior of the credit portfolio. We had an increase of 5.1% when we compare to June last year. Comparing the credit portfolio to the last quarter we saw a reduction of 0.5% that mainly can be explained by the movements of the large quarter that where it is described there.  Some of their highlights of the credit portfolio is the growth in the SMEs 5% to 10% year-on-year and the individuals by 6.6%, but it's completely aligned with the approach of the bankers concentrating the business into the retail portion of the book and using for the wholesale maybe get them off solutions.  On the next slide, right hand, we magnify here the individual loan protocol. We see a reduction of the loan portfolio comparing too much, however, when we see -- if we look at the size, the payroll portfolio grew from R$84 billion to R$86 billion. And here on the right hand side of the slide within some more color about the composition of these loans called payroll loan performance 86%, 87% is comprised by civil servants. We have also adding that due to this opportunity physically. We reach almost 98% of this portfolio with segments that it will be protected in terms of employers.  Moving to the next slide, Slide 11. We bring the companies loan portfolio. And here as I said, the main driver for reduction in this portfolio is basically explained by the large corporates. And this is completely in line with the strategy of the bank to use for capital markets. I would say that the synergies of origination of credits, the origination mandates for customers, distribution to the bonds another leg of the strategy is distribution as we pay into the back. We feel a lot the AUM managers inside the bank in terms of customers. We increase the number of managers giving special attention advisory for those customers. We're increasing the number of products and we are very active in distributing corporate bonds and equity. This is a cost trending here in Brazil and we're demonstrating good behavior in this direction.  Moving to the next slide. We bring specifically the SME portfolio. SME portfolio, as I said, presented a growth in the comparing to the last year, up 10%. This flow is more concentrated in working capital. Comparing to the last quarter, it was growth of 1.5%. The pandemic, the SME portfolio tends to change a little bit in the third quarter just as an example. This operating strategy is especially then with some indicators using a fund to guarantee that you have first last, but not fund. We were able to grant with R$5 billion in both of those loans at the beginning of the third quarter, and this tends to change a little bit the dynamics of the portfolio for the next quarter.  Turning to the next slide, Slide 13 we go to the agribusiness portfolio. The agribusiness portfolio, the performance remains positive. We have a growth of 1.1% comparing to the last year. We see that movement so that dynamics have increased in the industry. And the reason is exactly the same as large corporates. We see more instruments like the CRA that is an insurance linkage to other business being distributed to be tailwind to institutional investors. And the bank is quite active in that. And the growth is more based on the dividends. And mainly individual dividends.  On the right hand side we bring some highlights. The participation of the bank in the market share of almost two thirds of the market share. The new harvest plan that was launched in the quarter, we have R$103 billion channel to finance harvest plan comparing to the amount that was disbursed last year over the last harvest. And one important aspects that highlights integration of the bank and commitment of the bank to the sustainability is that this year, the low carbon program for agriculture is reaching the half year. And we have roughly two thirds of the all those instruments in the Brazilian market that was developed by the bank. And we reached R$15.4 billion of transactions done in those characteristics. Moving to the next slide, we go to slide 14 that we show the asset quality of the portfolio. We see decreasing the entail and increasing the coverage ratio. Because it's exactly that movement as I mentioned. NPLs with the rollovers, they tend to lag the effect and lagging the effects in a more conservative approach, we're being conservative so we're making the preemptive provisions and roll the coverage of the bank.  So the next slide, we bring to the credit quality separate by segments. And we see for the three segments individuals, companies and agribusinesses we observe increase in the NPL and growth in the coverage ratios. Now moving to the new NPL. New NPL to Slide 16 we saw a decrease in the new NPL for the total portfolio. The coverage of the new NPL higher than 100% and actually 149%, almost 150%. Looking at the new NPL by segments, we saw a decrease for individuals, we saw decrease for the business. We saw some increase in companies, that is completely negligible because this segment is more accessed by the challenges we see with the current situation. The next slide. Slide 17, we bring the rollover, key characteristics of rollover. Let's start on the right hand side that we bring the disbursements in the period. And those disbursements will include new transactions, renegotiations, rollovers. And basically it was distributed this way and bringing light to the rollover specifically. We had R$71.8 billion rollovers and the distribution was roughly 43% for individuals 53% for companies and among these 53%, almost two thirds of these will present SME portfolio and the other part should be larger companies in 4% for agri. Just some highlights. These rollovers represent 11.6% of the credit profile. We have more than 1.7 million customers -- 1.7 million transactions that were extended in a certain way. And what we did for those customers is basically customers that they are paying according the installs 99% rounding that they were in gradual situation. And this portfolio 98.4% the weighting of those customers are in the region of AA entity. In terms of guarantees 69% of those transactions, we have guarantees and litigators in relationship with those customers. We have more than 14 years on average relationship.  Next slide 18, we bring the symptom and the behavior of fee income. Certainly there are two reasons that explain the decrease in fee income. One is structural. At the moment, we have a decrease in the base rate naturally, we reprice some of the profits and the asset management. I think that is the best example. And this brings some pressure to the agribusiness. And secondly, it's more to the situation. You have different sense of the consumers preserving income, reducing consumption, and certainly this decreases the potential pool for cross-selling of products.  But although we have the situation the performance was quite well. Asset management for instance we had the largest decrease in industry business. However, volume compensated based on a certain way that we saw an increase of 3% in the period. Other lines, it is much clear good credit and insurance.  Moving to the next slide, we bring the administrative expenses. Administrative expenses, they were in line with inflation. And the bank is committed to control costs. In terms of efficiency ratio and the fee income to administrative expenses, we saw worsening. But this basically can be explained by the reduction in deepening the fees much faster compared to the cost. However, the bank has some practices. And here in the upper parts, we just show some of the measures that we did in the bank to control costs and so on.  The next slide, we bring a little bit of what we are doing for the future in terms of costs. And those are just three initiatives. We have more. Just reminding some of them as we discussed, we have the opportunity to discuss in the past. The first one is what we call the performance. Performance is basically redefining, redesigning the compensation plan for the employees. Giving more attention to a variable component based on performance and reducing the fixed portion. This was announced in February this year. We had the opportunity to discuss here, just putting some numbers to this. And basically we are going to capture the benefits along the years here and certainly completely getting them to the turnover of the workforce. The second aspect that we have the opportunity to discuss also was efficiency initiatives. We mentioned about the solar energy project that we now inaugurated last quarter. There is another one that will start operations in this quarter. And there are others in this process in addition to bi-energy, clean energy in the wholesale markets and also using technology to reduce consumption. And another aspect here is the sector that we call flexibility. Actually, these projects we have been studying even before all that story. Actually, the concept is to bring a more collaborative environment in the office, moving from the cubicles and going to open space and so on and stimulating and using the home office more frequently.  Actually, from one day to the other day to the pandemic, we've had more than one third of our employees working on markets. Then these projects actually were active in the net effect and worked quite well. What is the idea to expand this concept of remote work and also reviewing all the corporate space? In this process we have a space to reduce the space that we have a possibility to reduce the space and also to sell some buildings that are owned by the bank.  All of those three initiatives that actually they were contracted and we are executing them, they show liquid savings in costs and R$2.3 billion accumulated in the next five years which shows actually how we are addressing the corporate structure of the bank. And as I said, this is all of the initiatives and certainly we're going to have more things to say in the future.  The next slide, Slide 21, which show the customization of the bank growing organically with digit 10.26 in Q1. We continue to meet with our target of reaching minimum 11% by January '20. And finally, growing some aspects of innovation. The bank has been working investing a lot in the last year in terms of innovation. And all those investments that we made, were able to have the bank prepared including to face the social distancing practices.  Just reading some numbers, some highlights, for instance, we have currently more than 90 million people using our app. And on a daily basis, we have more than 6 million people accessing our app every day and these concepts, thinking about new ways of monetizing the customer base is quite relevant because we want to have people accessing recurrently and in a way that we can offer products and services to buildings.  Certainly the pandemic or the social distance accelerates this process that we showed here the number of users that grew quarter on quarter. Another initiative that I would like to highlight here is WhatsApp. WhatsApp is basically -- we have this in the last year is a new way of interacting with the bank using artificial intelligence and you can access them and discuss about products including paying bills and so on. And the number grew exponentially in digital assets. And with that high percentage of resolution. And just reminding that the systems learn, as we have more movement on this. And this shows innovation in the bank in this way that we change the interaction with customers and open new channels of communication. And the digital wallets that we have here.  This is an entity, we tested this through the payment of benefits. In those steps, it was -- we had 1 million people using those products with more than R$1.5 billion. And this product is being launched and we have potential to grow in this product. And the thing that we can move to the next slide that we just need some color of things that we're thinking, things that we are analyzing and it shows a lot of innovation. First of all, it's what we call brokerage platform for other business that you can access just to check both growth to the count that we are.  Through this platform, you have the agribusiness customer interest, we have information about the productivity and so on. We can advise that person about ways to increase the productivity. We can sell products and services based on that. We can sell insurance, we can -- including weak non-banking products, machinery and so on.  Then this shows a little bit on new ways of the monetizing the customer base. And for that reason, it's important to have the app and the instrument and have people accessing the system that we have ways, again, of creating value for the customers and creating value for the shareholders as well.  The second aspect is that is quite relevant. We are doing a great resolution in the company's relationship. The same thing that was done for the individuals and it's quite well development. The access to the internet to do services. We are doing in this conference calls, and we are using APIs to do this. This is quite fast to implement. And we can have levels of customization. Just reminding that Banco Brazil uses API for the first time in 2017, and some solution for credit.  And these -- we have 72 customers -- sorry 71 customers that are using solutions integrating their system. One example is that the virtual slips that we have collections. We have 12 million -- 12.7 million of those generated through the app. We have more -- we have 1,200 customer that are in process of implementation. And this shows change completely, transformation in the way to interact with this segment.  And we launched this week the new platform for the digital conference. This is basically bringing user experience to these conferences and giving some level of customization and again, making it much easier to do this.  The other aspect that I would like to highlight is venture capital. We are investing the first trench in the venture capital now in the third quarter R$100 million to partner with Syntex, the important for cooperation of new solutions and products.  And finally, independence trench. The business is greatest transformation in the system. Banco Brazil was the first bank to meet all the requirements of regulators. We are prepared to take the instant payment system as it is to be defined by Central Bank. And as a complementary approach, we have announced that also FacebookPay. Actually we are waiting for regulatory authorization for this. And moving to the next slide, is just to mention that innovation is not only in the technology and the cultural aspect. There is one aspect of that that probably we hear a lot in the last weeks, in the last year is about ESG and social responsibility. This is something that the bank has a lot of this it is part of the strategy of the bank. And just brought some landmarks that show why the bank is well recognized in terms of awards and index in terms of ESG.  Just some examples in terms of voluntary programs. Since 2001, we have problems in the social aspect. We have more than 25 initiatives that were done in this period. And [indiscernible] initiatives in those periods.  Beginning with our asset management, currently we’ve eight ESG funds. The first fund that was more driven to governance, was launched in 2002. And currently we have R$141 billion in assets under management. And it's currently in these difficult times.  What we call agenda 30? Those are the strategic plans of the bank to meet, to grow in terms of social responsibility. This is started in 2005. We are in the seventh version of this instrument this planning. We have -- we realized, not we realized we implemented more than 500 actions along those years.  As I said, the low carbon agriculture is celebrating the 10th year. And we start in 2010. The bank was the first bank in Brazil to implement socio-environmental guidelines of credit having very specifically targeted, restricted, excluded exclusions. The agro energies program. We start in 2016, all working with implementation of renewable energy for agribusiness. And then more recently, we replicated these food companies also and those two initiatives together, which is almost R$1 billion.  One thing that we got, we have this was to look at geo socio-environmental diagnostic. This is basically the democratization that we have been using to finance working capital to the agribusiness. Again, a combined market that basically we capture using democratization. If that area is not protection area or is not in a serve and so on. Then in addition to the technical information that we have about production and so on, whatever we have to be aspects that is quite relevant in terms of compliance and reaching all those standards. And one example and more recently is the carbon free certificate that we launched for one customer, that is completely aligned geopolitical. Thing that and in presentation I would like just to highlight that what we are showing here that we are delivering consistent results in the last few years. We are working a lot in terms of innovation, we understand that the banking world will be completely different. And we are bringing innovation new ways to interact with customers and creating new business models, working -- approaching, efficiency, new ways to bring efficiency and to adapt to the cost structure of an institution. And certainly taking very seriously these aspect of ESG.  Thanks a lot. And we can move to the Q&A. 
Operator: Okay. Then ladies and gentlemen, we now begin the question and answer section. [Operator Instructions] Our first question is from Marcos [indiscernible]. Mr. Marcos you may proceed.
Unidentified Analyst: Hi, Daniel. Good morning, everyone. Two questions. The first one comparing a little bit, the extended portfolio percentage should be in the reals with the additional prudential provisions that you may have around R$4 billion. When we compare that to the other banks, the additional provisions were a bit higher and the extended portfolio were a bit lower. Can we say that your extended portfolio probably has a lower risk than the peers in terms of the profile of the clients that are there? As you mentioned, also the high level of guarantees around 70%. That's my first question.  And the second question is on the venture capital initiative that you just announced. What is the strategy here is to, acquire partnerships, acquire stakes in FinTech as you mentioned with the idea of making some money or with the idea of bringing solutions and also more service to the bank like helping the bank to offer new products and solutions for their own clients. 
Daniel Maria: Okay, thank you Marcos for the question. First of all going to the rollovers and extended portfolio. Actually, our portfolio we understand that is yes, we see concerned to the system consistent. And some of the reasons were basically first of all, the agribusiness portfolio that represents one third of our portfolio. Secondly, when we look at the individuals portfolio, we have a higher participation relatively to the system to the payroll. Then this gives different risk profile of the portfolio compared to the system.  The second aspect is what we are doing in terms of provision. Basically what we're doing is when we have cash flow that are having situation of cash flow. We're upgrading or downgrading the risks. And downgrading those risks, including sometimes much faster than the pilot by the regulators is certainly for those ones that seem much weaker.  In doing this, we accelerate the position that we're in. The second aspect is although central bank takes some provision, regulatory provisions should give the rating applications when we rollover those loans, we will not be using. Again, these expense also this weakness that we are doing.  The third aspect is basically even transactions that we were comfortable with the level of provisions, we are reinforced near increasing provision exactly to prepare to those times. And this explains a lot, how we are driving the provision.  Probably, your question is quite interesting because probably those numbers when you compare, the first aspect is the profile of the fund. The second aspect is how the other banks are doing those additional provisions. Probably I don't assume that all of them are using the same standards. And then this is for the first question.  About the venture capital. The third one actually, we have several improvements for there. We have cool participation companies. There are some funds that will be your own participation in participants in those funds. Basically it's co-creation of solutions. And participate, certainly entering the capital of those with the participation to the fund exactly to implement, and to bring those solutions to the company and continue to test some of these inside the company to bring to the customers.  It’s less than in the perspective of investing a company to sell those. It is much more in terms of creating innovation and bringing different dynamics for the relation of products, services, and also innovation. 
Unidentified Analyst: Perfect. Just a follow-up here, then. I know certainly because you just launched this retention, but do you think that this could be growing in terms of size in the future for the better? 
Daniel Maria: Yeah, this was the co-expansion, and we think they prefer to go.
Unidentified Analyst: Perfect. Thank you very much. 
Daniel Maria: Thank you.
Operator: Our next question is from Nicolas Riva from Bank of America. Nicholas, you may proceed. 
Nicolas Riva: Yes. Thanks very much, Daniel for taking my questions. I got two questions. The first one if you can provide us with an update on your pipeline of asset sales. One of the assets you have mentioned in the past was your stake in one quarter? And if you can also talk about your views on your stake in CLO? That's part of your core assets or not?  And then my second question for understand that yesterday, the Senate in Brazil approved that implementing a couple of interest rates on both credit cards and overdrafts loans a 30% interest rate card. And it will be temporary until the end of this year. If you can talk about, in your view, what's the likelihood of this bill being also passed, being approved also in the lower house and passed into law? And if it is passed into law, what will be the impact on your financial this year? Thank you. 
Daniel Maria: Okay, Nicolas. Thanks a lot. Let's just follow up in terms of divestments. As we have been mentioned, but banks circulates all the investments we have. And what is the driver for this is basically let us understand what will be the marked in the future. What is the relevance of this participation, if there isn't a way of backing the marks? And certainly based on that taking this issue to make those movements. Nicolas so far we have no condition about and those cases. We're just -- we continue to analyze but we have no definition about those cases occurred to the market. By the way, yesterday we reviewed this bill actually answering some requests come from the regulator about the cards business. Basically this is the just one flag that we have in the market. We just mentioned that we are circling the analyzing possibilities but there is no conclusion, there is no approval in the corporate governance of the bank about those issues. And this is very similar to although the other case. There is nothing find, there is nothing approved. As soon as we have something at circle, we are going to come to the market and we're going to communicate to the market to be in the corner about. 
Nicolas Riva: Okay. Thanks very much Daniel. And then as for my second question about the basic to caps on interest rates on credit cards and overdraft?
Daniel Maria: Okay. The first of interest rate certainly would affect the system as a whole. Yes. And that's presumably because of the gap that we observe in the overdrafts, we presented a reduction in our stress for the system as a whole, but for our stress. In our case impact was a little bit lower, mainly due to the composition. Let me give you some numbers and those are perfect numbers that we have. The total system in terms of overdraft R$29 million. We have R$1.7 billion including I mentioned in the previous conference call 0.5% of -- actually it's 5% that we have in the system. When we compare this to the system or participation is lower to the system. When we go to the revolving credit card, the participation of the bank is even lower compared to the system. The system has R$42 billion. In total bank tends to have less than preview the indices. Then there will be some back circle due to the size of the reduction or the size of the capital that we reestablished. However, we tend to have a low impact compared to the system exactly due to the approach we have just in mind. Over that and revolving when the customers talk to us very often, what we do is channel the customer to other lines of credit. Because if they use very often those lines of credit, we can have higher NPLs. And we channels into those lines that have different rates and different performance. We can manage the cash flow of the customer. And this is basically due to the financial education of the population that sometimes determines all the effect of interest rates.  And versus the main point, Nicolas, I think that is important and this is what makes more difficult. The second part of your question, what is the likelihood of this? Because great ER have those levels happy that the banks they want, but mainly because there is structural reasons for that.  Some of the banks way of the address this is exactly everything structural reason. I personally don't believe in capping interest rates, you're going to solve a problem probably tapping interest rates, you're going to create some externalities that you're not expecting that. And it's hard to think -- it's hard to predict how will be the behavior of the Congress, the lower house.  Firstly the Association of Banks is exactly approaching and showing how those affects to reach that discussion. But this is a follow up to that we need to have. But certainly there will be some impact. And we can choose to make business back to the system probably can provide some numbers. If you have further information about the rate that the banks charge in Central Bank’s webpage. For instance, Banco Brazil is not the winner and the bank is in trended position in terms of rate then we can compare the rate. And the same thing for the revolving credit, then you can estimate a little bit, how much would be the impact for the system for that event. But certainly there will be some. Did that answer question? 
Nicolas Riva: Yes it did. Thanks very much Daniel.
Daniel Maria : Thank you. 
Operator: Our next question is from Henrique Navarro from Santander. Henrique, you may proceed. 
Henrique Navarro: Hi, good morning, everyone. So, my first question is on the provision. Second quarter earnings season is pretty much over and we're ready to meet that in the second semester. The amount of provision is going to be lower than in the first semester. But let's say that for the case of Banco do Brazil because you have a higher exposure to future loans. And let's say more exposure to SMEs. Can we say that for Banco do Brazil may be in the third quarter, we could see a lot of risk is going back to normal life with levels? That was the first question.  And the second question is that on rollover. First we have 60 days old credit is being rolled over. So it's already about the time for the clients to pay their first installment after the COVID-19. So how was the behavior of these first payments after the first rollover? That's it. 
Daniel Maria : Thank you. Thanks for the question Navarro. Let's start with cost of risk. And to be frank, there is a likelihood that the second half would be better in terms of provisions than the first half. It's hard to have a full visibility of this. Because there are some others detriments of this. Because we have so far the benefits that are being paid by the government. When those benefits reduced, what's going to happen in terms of NPRs? It's unclear. How it's going to work in terms of services which we have we'll be opening? The behavior of the customers who go to the same levels are not? And other aspects of that is quite interesting to serve.  The economic growth, I would say that you see this there is no focus. That every week the perspective for the GDP is getting better, that it's negative it’s still negative but better compared to the past those variables, they confirmed for benign scenario. I completely agree with you that the likelihood is that we have better customers. But there are unclear cases, exactly because things are so dynamic that we need to fine tune every week what is happening.  And basically, if we are going to have a larger case coming, we don't foresee this, but again, those things happen so fast that it's important to know that. But what you can expect on our side is to continue to be conservative and continue to have those punitive provisions. Exactly to create action to all those scenarios. And we understand that this is the right way to do it.  The second aspect is about the rollovers here. Your question, it's quite interesting because certainly the rollover is lagging the fact in EPS. And the way we are approaching rollovers for companies is basically for 60 days. And we made the first wave, we made the second wave, we are entering the third wave.  But when you look at the customers individually, you have a little bit of everything. People that are requested the rollover in the first wave and paid in full. People that take part in rollover for additional periods, people that even enter into the first week, now they're requesting that you have different behaviors on that. We understand that so far the way we are looking at the lack of provisions that we have is quite sufficient to absorb in that. Did that cover everything? 
Henrique Navarro: Yes, that's perfect. Thank you, Daniel. 
Daniel Maria : Thank you.
Operator: Our next question it is from Neha Agrawal from HSBC. Neha, you may proceed. 
Neha Agrawal: Hi, thank you for taking my question. Just wanted to follow up on the previous question of whoever. I understand that you have not here evaluating what you could do with your holdings in the sectors. But we're together on our vision is good because we have a duty for your card business, which is with CLO. So how would you separate the two businesses and what are the options that you could probably explore if you decide that CLOs work for the business.
Daniel Maria : Okay, Neha. Thank you. Thanks for the question. I would say that it is too early to say, certainly those questions that they're raising. Since we are starting the process of discussion and we are looking for the value of those companies nowadays and looking at the trends of the market and what would be the market in the future. And you know that predicting the future is not an easy thing. And meaning to try to correct everything. And that we do not have a situation, then it's too early to mention about that. But certainly as soon as we have the decision taken, then we go to the market, we're going to communicate if we can elaborate more about whichever is the decision that the bank announce.
Neha Agrawal: And another question on this here of the [indiscernible] your question is this. What do you think would be the short term impact of the bank and in the medium term impact as well from the implementation aspects? Thank you. 
Daniel Maria : Great question, Neha. First of all, this will change the lots of system, not only the banking system, the payment systems, but also the ecommerce, the relationship of people and ecommerce probably certainly we have instant payments in several parts of the world but the way it's been designed here probably the weak in some aspects. This always in life brings you to choose two sides. The opportunities, a lot of opportunities in our field and challenges. The easiest challenges to see is in the fee business. And some of the lines and probably the most clear example is 3% of our current account fees, our checking account fees are transfers. And these tends to reduce or to recur. It is certainly true not from one day to the other, but tends to gradually reduce. And there are other aspects that all bank all the system will have. On the other hand this opens a lot of opportunities thus creation of new products and new directions. For that reason, we have been working in the last few years in integrating companies to the system through API's that I mentioned. Then cash management how the collection process, how we can advise companies in the cash management, these will change a lot.  I gave an example in the last conference call that is e-commerce. In Brazil it's very common that you go to a web page, you have to sell in the e-commerce to buy some product and you choose a collection process that you receive the slip then you pay. And what happens? Usually this takes a lot of time between you receiving the -- actually you make the payments, the company identifies the payments and so on. At the moment to integrate these and financial situations helping the customers to make the process fast. This changes including logistics, this changes including the process of the managing the log of the conference. And this is basically the way we want to position on this and those are the opportunities we are seeing.  At the same time when we talk about the expansion in this ecosystem, we see a lot of space that we can develop products and solutions. And these is completely linked to the issue of working or co-creating products through venture capital solutions that we have internally. For instance, in payments systems and in the companies, including for individuals. This is the other side of the coin. And we believe that we're well positioned to these new world.  Did that answer the question enough?
Neha Agrawal: Yes it did. One lastly follow up, apart from the transfer fee that you mentioned. Another source of fees, which could come under threat is the collection services. It can be done directly through links with the government, the commissions that you earn on collection services might go down eventually. Am I rightly thinking about that?
Daniel Maria : You're right, you're right. But in site collections actually there are two kinds of collections. One collection that is basically payments, that you issue the slip and you make the payments and the other that is linked to a process that if the person doesn't pay, you have a collection system that goes to the notary to enforce the payment. I would say that this second one continues to be active in the banks. Probably in a different way, but it will continue to happen. The first one certainly will disappear or will tend to disappear and move just to the other part. 
Neha Agrawal: Could you tell us how much of the total collection revenues are from the first part, which could then detect? A rough estimate would be there. 
Daniel Maria : I don't have the number on the top of my mind. I don't have an example. I probably I can give for a while. Let me just check here. No, I don't have. But I can check this and come back to you. 
Neha Agrawal: Sure, no problem. Thank you so much for the color. Very helpful. 
Daniel Maria : Thanks a lot. 
Operator: That does concludes today's question and answer session. Mr. Daniel Maria will proceed with his closing remarks. Please go ahead, sir. 
Daniel Maria: First of all, thanks a lot for the attention for the questions and for the support that you all give to the bank as shareholders. We are available here for any additional question. And have a nice weekend. Thank you. 
Operator: That does conclude Banco do Brasil conference call for today. As a reminder, the material used in the conference call is available on the Banco do Brasil Investor Relations website. Thank you very much for your participation and have all a nice day. You may now disconnect.